Operator: Good afternoon and welcome to Genie Energy’s Fourth Quarter and Full Year 2013 Earnings Conference Call. All participants will be in listen-only mode. (Operator’s Instructions). After today’s presentation by Genie Energy’s management there will be an opportunity to ask questions. (Operator’s Instructions). In this presentation Genie Energy’s management team will discuss financial and operational results for the three-month quarter and 12 months full year ended December 31, 2013. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risk and uncertainties include but are not limited to specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation, either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. Please note that Genie Energy earnings release is available on the investor relations page of the Genie Corporation website, www.Genie.com. The earnings release has also been filed on a Form 8-K with the SEC. Please note that this event is being recorded. I will turn the conference over to Howard Jonas, Genie Energy's Chief Executive Officer and the Genie Energy Management team. Please go ahead, Mr. Jonas.
Howard S. Jonas: Hi, I am glad to be speaking to our shareholders for the first time as the CEO of Genie. It's my first quarter, so I hope I do well. I want to thank my predecessor, Claude Pupkin. I think he did an excellent job establishing the company and running it. I am glad he will be staying on to help us and to guide AMSO. I think this was the right time for a change in management of IDT, [Vincent] and Bill have basically been in charge of the business until now. I think they will do a great job actually having control of everything and I expect great things there. I think the challenges at Genie are well suited to my abilities. I like challenges. I am looking forward to growing GOGAS and making into I hope the major energy producer in the world which should maximize shareholder value and I am looking forward to rebuilding IDT Energy into a growth company in three ways, by building out our direct acquisition channels, which are Diversegy, a leading energy broker, and Epiq, a network marketing company, which is the way I think energy should be sold, you should buy from your friends and we plan to strengthen our brand and we also plan to enter into new territories. All those things should lead to an expansion in the business. So even though we have taken some knocks this last quarter as the entire energy business did from the Arctic cold that swept across the country and in some cases drove costs up by eight times the normal level, causing bills to go up for customers, causing customer churn, and causing losses for particular periods of time that we had to deliver the commodity. Cold doesn't last forever. It was an unusual circumstance. Our business is set up to weather these sorts of problems. Many of our competitors have gone out of business. Many of the large utilities will now have to raise their rates. We think this will give us an excellent opportunity to grow because of our own efforts and because of the state of the industry. I am confident that a year from today our customer base will be bigger than it was at the end of the last quarter and will be growing at a better rate than it's grown in the last year and it will have a more profitable future, looking forward to a more profitable year than it hopefully ever had before. Turning to GOGAS, some of our projects are long term so we are moving ahead with them. Our labs are very busy in Israel and in the States. We are acquiring more territory, we are in the process of making more deals in Mongolia. We believe that these long term projects will alter the primary source of oil from traditional oil to shale and we also believe that along the way we’ll discover a lot of [traditional] resource. At Afek as an example we still need to prove the resource exists and it's extractable but we expect to have a very good idea of that in the very near future. We’ll certainly know if it's commercially viable within a full year period and if it is we will convert that lease. Frankly I am just one person but I and the team all of us are highly optimistic that we’ll find something good. Together, the [website] and GOGAS complement each other. The cash that our [escrow] throws off continues to facilitate investments in GOGAS. 2014 and ’15 will require significant investment on our businesses. We need to invest in actual drilling for conventional oil. We believe we will have a large drilling program through this year and into 2015. We need to start the pilot plant construction for IEI and Genie Mongolia which requires some significant investment and we need to invest particularly into building Afek into one of the largest network marketers in the country. All these investments will bring good return to our shareholders, some long term and some short term. Because of the many opportunities in front of us we have elected not to make cash costs for the first and second quarters of 2014 at AMSO and let Total pick up the bill. This gives us a slightly smaller piece of the project but we have to evaluate our different opportunities and deploy our cash accordingly. This is why we have a large balance sheet so we can jump on the best energy opportunities before others and find new ways to build our core company and generate more cash for shareholders and for growth. I hope you are pleased with our performance, I am and I am going to turn this call over to one of the people who is most responsible for that performance, Genie's Vice Chairman and CEO of IDT Energy, Geoff Rochwarger.
Geoffrey Rochwarger : Thank you, Howard. I will begin my discussion by focusing on IDT Energy and then close with updates on our four oil and gas projects. I am going to frame my remarks on IDT Energy somewhat differently than in the past. Rather than delve into the quantitative results I will leave the discussion of results and metrics largely to Avi. I will focus instead on the broader strategic picture that will drive growth going forward. But first IDT Energy generated $25.7 million in EBITDA in fiscal 2013 delivering on the high end of our 2013 target. We managed to achieve our target in spite of two significant headwinds, increased competition in certain key markets which pressured our margins and a loss of meters served year-over-year as gross meter adds slowed reflecting the fact that we did not receive regulatory approval to enter additional territories during the year. Despite these challenges in 2013 we executed well on the fundamentals of our business to deliver strong results. Looking ahead, we are excited about our long term growth prospects. One reason for our optimism is the acquisition of Diversegy and Epiq Energy during the end of the fourth quarter of 2013. We believe that both companies will become significant drivers of growth in the long term and we have been working diligently since the acquisition to incorporate and build out the respective platforms and teams. In particular, our early emphasis is on the build out of the Epiq Energy platform. Epiq is a network marketing company that is focused on retail customer acquisition. The re-launch of Epiq as a new operating entity under Genie is now underway. The launch will be gradual eventually covering most of the states with de-regulated energy markets. Over the course of this calendar year we expect Epiq to have active independent reps in most states where IDT Energy operates with an early focus on Illinois. Since the acquisition in mid-December Epiq and IDT's management teams have focused on the process of refining and upgrading Epiq's back office and information systems while recruiting key personnel to round out its talented and experienced senior management team that will form the nucleus of a robust field organization. The integration and ramp up expenses will impact SG&A in the first two quarters of the year. In addition there will be some additional expense in 2014 related to the acquisition itself. By year-end we believe that Epiq will be signing up meters through its network of third party energy providers including annual licensed territories to IDT Energy. That is particularly exciting for a couple of reasons. Most obviously Epiq represents a new and complementary sales channel with the potential to reach customers that our traditional sales channels, principally door-to-door and outbound telemarketing simply cannot. Second, our research indicates that meters acquired through network marketing programs are sticker with lower churn rates and higher lifetime customer values than meters acquired through our traditional channels all else being equal. We've seen churn rates drop in recent quarters as gross meter adds have slowed yet it remains a key business challenge for us. As meters acquired by Epiq's programs become a significant component of our total meter base in several years we expect that this should help dampen churn as well. I would be remiss if I didn't mention Diversegy. The Diversegy platform consists of a network of energy experts that unlike Epiq focus on large customers; commercial, industrial and governmental. Diversegy earns a residual brokerage commission by referring these large customers to energy suppliers serving that market who provide the commodity or related service and assume any commodity risk. An added benefit here is that the Diversegy model is not confined to those relatively few states with deregulated markets that confirm to IDT Energy's traditional residential business model. Let's now turn to another key driver of long-term growth and one that can have a more direct and quicker impact on customer growth. In February we finally received regulatory approval to offer natural gas in nine utility territories in Pennsylvania including some of the State's largest territories. We've also received approval to enter an additional gas territory in Maryland and the District of Columbia as-well-as a new gas territory in New Jersey. We are currently working with the local utilities to complete electronic data interchange and other back office systems that must be in place as part of the licensing process before we can begin to acquire customers. We will initially focus on converting our electric meter customers in these territories to dual-meter households and then expand our marketing to capture the full market opportunity. I expect that we will begin to acquire gas meters in these territories beginning this spring and summer so that they can be enrolled prior to the start of next winter's peak heating season. The build out of Epiq and the expansion to newly licensed gas territories are the two key factors that will I hope and expect return IDT Energy to net meter growth at some point during the second half of this year and drive growth over the long-term. But I do want to point out that the road will not always be smooth. As you may have read and experienced there has been a lot of turmoil in the local energy markets during the first few months of the New Year thanks to polar vortex. Temperatures in January for example were fully 35% colder year-over-year in much of our service area causing a sustained surge in demand for electricity and natural gas. During this period prices on the wholesale spot electricity market had spiked over the past couple of months from the normalized range of less than $50 per megawatt hour to its highest $400 per megawatt hour or more in some of the markets. We sought to insulate our customers as best as we could by not immediately passing all of the wholesale cost increases along. Nevertheless it was not unusual to some of our customers to have their bills double or even triple month over month. In the short-term this price spike puts us at a significant competitive disadvantage compared to the local utility and other fixed rate providers. As I've discussed on past earnings calls there was a lag as much as four to six months before the impact of real time cost spikes impacts accelerates from these providers. Because of this pricing disparity we expect to see a large jump in churn early this year as customers switch back to the temporarily lower rate program of the utilities. Moreover we've chosen to cushion our customers from the worst of the wholesale price spikes through selected rebates. Our first quarter P&L will reflect this. To-date these one-time rebates total more than $2 million and that number will increase as we continue to see heavy rates of calls into our customer care center. We'll have a better idea of where we stand with regard to the year's EBITDA target by the time we announce first quarter results in May. On the other hand we believe that fixed rate suppliers are also going to take a significant financial hit. Those suppliers that remain solvent, including local utilities will seek to recover their escalating costs in the coming months. In fact this process has already started as utilities apply for fee increases and rate hikes from their respective regulators. The rates that fixed rate suppliers charge will rise relative to the wholesale market price and when they do, the tables will turn and variable price suppliers like IDT Energy will enjoy the competitive pricing advantage. We will be fully prepared to take advantage of this. In fact the timing could not be better as it would coincide with the launch of Afek and the entrance in to new territories. Now I want to update you on the Genie Oil and Gas projects, beginning with Afek, which holds an oil and gas exploration license in the Golan. Afek has been heavily engrossed in the permitting process and making the logistical arrangements to begin its exploratory drilling program. This year we hope to drill several wells, but we won't have a comprehensive picture of the resource until we have completed the full drilling program and had time to thoroughly analyze the results. We expect to begin drilling in the second half of the year, but there are significant variables outside of our control including the permitting of the drilling sites that could delay our timeline. We will continue to keep you posted. The drilling preparations have already began to impact our operating expenses and that process will accelerate throughout the year as we ramp up procurement, sign contracts and ultimately began drilling. Also in Israel, our oil shale project IEI has complied with the request by the Jerusalem District Building and Planning Committee for additional information to supplement its application to construct and operate an oil shale pilot test. Since the Israeli government issued new regulations applicable to oil shale development, IEI has been working diligently with the Ministry of Energy and a committee to ensure that the requirements are fully reflected in our application. The decision making process which kicks us with a formal acceptance of the application has a timeline of at least nine months. Genie Mongolia continues to work on surveying the oil shale resources in our 34,000 square kilometer exploratory license area. As we noted last quarter we have conducted a significant amount of surface mapping, gravimetric and other analyses, and have drilled exploratory wells as part of our resource characterization plan. We’re continuing to drill during the first quarter. At the end of the exploratory process we expect to identify a suitable site to build and conduct a pilot test provided that an appropriate regulatory structure is in place. Finally at our joint venture oil shale project in Western Colorado AMSO is continuing with a comprehensive review of alternative heating system solutions for the pilot. The AMSO team with the active participation of our partner Total is in the process of carrying at a thorough alternative heater evaluation and qualification program to identify a robust heater to be utilized in our pilot test. We are working through that qualification process and hope to have results by the third quarter of this year. Once we arrive at a decision the time to implement will vary based on the solution chosen. That concludes my remarks. I will now turn the call over to Avi Goldin to expand on our financial results.
Avi Goldin: Thank you, Geoff and thanks to everyone on the call for joining us this afternoon. My remarks will cover our financial results for the fourth quarter and full year of 2013. I'll begin by addressing IDT Energy's financial performance that's built on the solid recent quarters to meet our target for the year. As in prior quarters IDT Energy generates all of Genie Energy's revenue, cost of goods sold and gross profit. Revenue for the fourth quarter increased to $67.1 million from $65.4 million in the fourth quarter of 2012. While RCEs declined from 333,000 to 315,000 and consequently we sold less electricity and gas than in the year ago quarter, the average sell price per unit of both commodities increased more than enough to compensate. For the full year, revenue increased to $279.2 million from $229.5 million in 2012 as both per unit revenue and consumption increased. Electric revenue in Q4 increased 3.9% to $50.1 million from $48.2 million in the year ago quarter. Kilowatt-hour sold decreased 6.7% year-over-year reflecting the lower RCEs and relatively warmer weather in the fourth quarter of 2013 compared to the year ago. But average revenue per kilowatt-hour sold increased 10.7% as the cost of the underlying commodity increased. For the full year 2013 electric revenue was $216.7 million compared to $174.3 million in 2012 reflecting increases in both kilo hour sold and revenue per kilowatt hour. Gas revenue decreased to $17 million in the fourth quarter of 2013 from $17.2 million in the year ago quarter and accounted for 25% of total revenue. Gas therms sold in the fourth quarter decreased 5.6% compared to the year ago quarter more than offsetting a 4.7% increase in revenue per therm. For all of 2013 gas revenue increased 13.3% to $62.5 million and $55.2 million in 2012. Therms sold increased a slight 1.8% compared to the year ago but revenue per therm declined 11.3% reflecting in part rising prices for natural gas during the year. Gross profit was $16.8 million in the fourth quarter compared to $18.5 million in the year ago quarter. Kilowatt hour sold decreased and the gross profit margin per kilowatt hour also decreased as the underlying cost of the commodity increased more rapidly than our prices due to incentive programs, rebate and pricing decisions. The decline in electric gross margin was partially offset by an increase in gross profit from gas sales. Overall, our gross profit margin decreased to 25.1%, a 314 basis points decrease compared to the year ago quarter. Gross profit for the full year was $65.8 million compared to $69.6 million in 2012 and gross margin was 23.6% compared to 30.3% in 2012. The decrease in gross margin was driven by a drop in electricity margin which fell from 31.8% to 22.1% as the underlying cost of electricity rose more quickly than our rates. The gross margin on gas sales in 2013 increased to 28.7% from 25.8% in 2012. Moving on for the financial items for consolidated Genie, consolidated SG&A decreased slightly to $13 million in the fourth quarter of 2013 from $13.4 million in the fourth quarter of 2012 as higher expenses [in Epiq] primarily service expenses were offset by decreases in SG&A in IDT Energy. On a consolidated basis SG&A in the fourth quarter improved $1 million in non-cash compensation related to equity grants. For the full year 2013 SG&A decreased to $50.4 million from $53.9 million in 2012 primarily reflecting a decrease in customer acquisition expense at IDT Energy as gross meter adds decreased from 79,000 in the year ago quarter to 45,000 in the fourth quarter 2013. For the full year SG&A included non-cash compensation related to equity grants of 4.2 million. Research and development expense in the fourth quarter all of which was incurred by Genie oil and gas increased to $3.7 million from $2.2 million in the year ago quarter primarily reflecting the geological appraisal work and initial expenses associated with the drilling program at Afek as well as increased exploration activity in Mongolia. For the full year R&D expense totaled $11.4 million compared to $9.4 million in 2012. As in prior periods we accounted for our 50% stake in AMSO LLC utilized in the equity mapping. In the fourth quarter equity in the loss of AMSO was $600,000 compared to $900,000 in the year ago quarter. The decline reflects a lower rate of spending partially offset by increase in Genie's share of the overall project cost. Under the terms of our joint venture with Total we have the right to not fund our share of AMSOs projected cost which is currently 35% of the total expense incurred. In January of this year Genie exercised this option and shows not to fund the capital cost for the first quarter of 2014 which was $900,000. Total provided the funding thereby effectively diluting our equity stake in the project from 50% to approximately 48% which also reduces our share of future spending proportionally. Although we remain very positive on AMSO’s long term prospects our decision reflects in part a prioritization of our resources for those projects with shorter development horizons including Afek in the Golan Heights where, as Geoff mentioned, we are about to embark on a 10 well drilling program. Genie did not incur significant depreciation or amortization expenses during the fourth quarter. For the full year 2013 depreciation and amortization expenses was $109,000. On a consolidated basis Genie’s EBITDA loss and loss from operations was $400,000 in the fourth quarter compared to EBITDA and income from operations of $1.9 million in the year ago quarter. IDT Energy’s EBITDA and income from operations in the fourth quarter were $6.7 million compared to $7.9 million in the fourth quarter of 2012. At Genie oil and gas the loss from operations increased to $4.4 million from $3.9 million in the year-ago quarter led by an increase in R&D expense. The loss from operations as a result of corporate overhead was $2.6 million compared to $2.1 million in the fourth quarter of 2012. For the full year 2012 EBITDA was $735,000 compared to $3.2 million in 2012. Income from operations in 2013 was $625,000 compared to income from operations of $3 million in 2012. Interest expense and financing fees in the quarter was $700,000 compared to $774,000 in the year ago quarter. For 2013 interest expense and financing fees was $3.2 million compared to $2.7 million in 2012. The provision for income taxes was a benefit of $38,000 in the fourth quarter compared to a benefit of $97,000 in the year ago period. For the full year the provision for income taxes was $2.8 million compared to $2.9 million in the prior year. Adjusting for non-controlling interest in the fourth quarter the net income attributable to the Genie ex-preferred stock dividends was a loss of $787,000 compared income of $1.8 million in the year-ago period. The net loss attributable to Genie common stockholders in 2013 was $7.1 million compared to $3.5 million in 2012. Net cash generated by operating activities in the fourth quarter was $1.9 million versus net cash used by operating activities of $2.2 million in the year-ago period. For the full year cash provided by operations was $1.2 million compared to net cash used by operations of $1 million in 2012. Our balance sheet remains strong and liquid with $93.8 million in cash, cash equivalents, restricted cash, certificates of deposit and marketable securities, no long-term debt and a positive working capital balance of a $106 million. Overall Genie had very good operational and financial results and our balance sheet remains strong and liquid. We are in a good financial position with the ability to fund the near-term needs of all our projects and initiatives. Now Terri Stronz, IDT Energy's CFO will join us for Q&A and I'll turn the call back to the operator to take your questions.
Operator: We will now begin the question and answer session. (Operator Instructions). At this time we will pause momentarily to assemble our roster. And our first question comes from Marco Rodriguez of Stonegate Securities. Please go ahead.
Marco Rodriguez - Stonegate Securities : Good afternoon guys. Thanks for taking my questions here. One, if you could provide a little bit more color surrounding the new territory that you just gained approval in. Any sort of metrics as far as potential RCEs or meters and can you discuss also your pipeline of new markets for IDT Energy?
Howard S. Jonas: Sure. So you have heard us talk for a few quarters about these natural gas territories in Pennsylvania that we've been working on getting regulatory approval for. And if you go back over the past year, year and half we've had a pretty good degree of success on the electric side in Pennsylvania and we were looking to get these gas territories so that we could start selling the dual-meter product and converting some of our electric customers to dual-meter customers within those markets. It's hard to quantify exactly what the impact is going to be but it's something that we expect to start seeing take affect within the second half of this year. It would be a little bit quicker but we need to see how things shake out for us from the weather we've had in that market. So like I said it's something we expect to hit -- have a positive impact from meters within the second half of the year and it's something that we think will help us as we look to convert these electricity meters in to dual meters and also grow deeper into that market.
Marco Rodriguez - Stonegate Securities: Okay. And then in regard to your comments, the prepared comments on the net meter growth in the second half of this year, do you expect net meter growth for the full year or is it going to be a net loss?
Howard S. Jonas: I think for the full year I would say the expectation is we're probably going to end up somewhere with maybe small positive to breakeven year. The early part of this year is going to be very difficult for us and we will have more color on that when we report first quarter in a couple of months. And it's really going to be hard for us to say specifically until we see how that fully shakes out. But we're very excited about what Epiq and Diversegy bring to the table and we think that Epiq combined with the impact of these natural gas territories is going to start really hitting positively for us in the second half.
Marco Rodriguez - Stonegate Securities: Okay. And you mentioned the extreme winter weather that most of the country, especially northeast experienced here. What -- can you talk a little bit of how you guys are thinking to that as it relates to your marketing efforts? I mean I understand the impact it's going to have on your net meters but just trying to think through competitive dynamics between yourself and then obviously just going back to the utilities?
Howard S. Jonas: So the answer is that what we're experiencing is what we expected which is that is going to be a difficult short-term period, meaning that right now with the variable rate product, it's difficult for us to demonstrate a competitive position relative to the utility, but we are doing everything we can in making strategic decisions to ameliorate the impact as it hits the customer and also when customer calls come in we are offering a rebate program really trying to educate people as to what we expect to happen on a go forward basis which is that as utility start to build what's happening into their rate basis, which has a lag as Geoff mentioned, we are going to expect to see their rates coming up and we'll have the ability to offer more competitive position relative to the utility and to fixed rate providers in the coming months.
Marco Rodriguez - Stonegate Securities: Got it, and then shifting gears here to the acquisition of Diversegy and Epiq, can you talk a little bit more, provide a little more color perhaps in regards to how -- what are the specifics behind how you are going to build out the sales network and any timing aspects would be great and then what is the level of investment expected next year for that?
Howard S. Jonas: So we are expecting them to be -- the investment period sort of span 2014, we are not expecting significant investment past that. So we are really expecting these acquisitions to start to hit within the second half of this year. Just wanted to take Epiq for a moment, it's really a sort of blocking and tackling type of position what we are looking to build sales team, we are looking to find key personnel within all the regions where we want to operate, with a focus initially on the IDT Energy territories because that's where this can have the most impact in bringing as Geoff mentioned that additional sales channel which not only does it target the slices of the customer base, that we're not able to get at with outbound telemarketing in door-to-door, but it also as Geoff mentioned has much more attractive churn characteristics historically. So it's really going to be sort of a very measured, yet aggressive push into these markets. We are expecting to see the first impact hopefully within the Illinois territory where we are operating with IDT Energy and you should start hearing some positive indications from us as we get deeper into 2014.
Marco Rodriguez - Stonegate Securities: And what sort of ramp are you expecting -- I am sorry, yeah?
Howard S. Jonas: No, no we're still here.
Marco Rodriguez - Stonegate Securities: Okay. What sort of ramp are you expecting on the RCE side from Diversegy and Epiq in fiscal '15?
Howard S. Jonas: I don't want to get -- yeah I will just say you will find that, I don't want to get too far into specifics, because it's a little bit early to tell within the lifecycle of the acquisitions but the second half of this year is where we really expect to be able to demonstrate some of the positive impacts.
Marco Rodriguez - Stonegate Securities: Got it and lastly I was just wondering in regard to the prepared remarks on some of the things Howard that you are focused on one in particular strengthening the brand, I am assuming that's going to be focused on the IDT Energy branding. Any more color you could provide on what efforts you will be doing there?
Howard S. Jonas: No.
Marco Rodriguez - Stonegate Securities: Okay, thanks.
Operator: (Operator Instructions). This concludes our question-and-answer session and the conference call. Thank you for attending today's presentation. You may now disconnect.